Operator: Thank you for listening to the J.Jill Third Quarter Fiscal 2020 Earnings Commentary. Jim Scully, Interim CEO and Mark Webb, Executive Vice President and CFO will provide further remarks on the company's fiscal third quarter results ended October 31, 2020, which were announced with the press release dated December 10, 2020. Following today's remarks, there will be no question-and-answer session. I need to remind you that certain comments made during these remarks may constitute forward-looking statements and are made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in the press release and J Jill's SEC filings. The forward-looking statements made on this recording are as of December 10, 2020 and J Jill does not undertake any obligations to update these forward-looking statements. Finally J Jill may refer to certain adjusted or non-GAAP financial measures during these remarks. A reconciliation schedule showing the GAAP versus non-GAAP financial measures is available in the press release issued December 10, 2020. If you do not have a copy of today's press release, you may obtain one by visiting the Investor Relations page of the website @JJill.com. I will now turn the remarks over to Jim.
Jim Scully: Thank you and good morning, everyone. When I first spoke with you the same time last year, we had made leadership changes and were setting a plan for strengthening J Jill's foundation. Then very early in 2020, we began to navigate the challenges presented from the COVID-19 pandemic that the world is still facing today. It is an understatement to say that this has been an unprecedented year for retail and for J Jill. With that said, while our results have yet to show a meaningful recovery and our core customer remains cautious, we are gradually making sequential improvement. Importantly, during the third quarter, we made significant progress in positioning J Jill for its next chapter, including our previously announced agreement with our lenders, which provides us the needed flexibility to build our path back to profitable growth as well as the announcement of our permanent CEO, Claire Spofford who will begin her role early next year. In addition to these announcements, we've also reevaluated our operating model and taken several steps to strengthen for the future. We are optimizing our product assortment and streamlining the number of product flows which will improve the efficiency of product development activities as well as store and e-commerce operations. We've reviewed our marketing mix, reducing the number of important but expensive catalog drops to be in line with the new product flows. We've adjusted our organizational overhead to reflect a simplified way of working and we've reviewed our historically strong store fleet with a critical eye on traffic and revenue potential and made tough decisions to close lower performing, predominately mall-based stores. At J Jill and bars [ph] on its next chapter, I'm excited to have Claire join as permanent CEO beginning in early February. Claire is returning to the company with a strong knowledge of J Jill's incredible, loyal customer base and has a proven track record of evolving brands into profitable, usually [ph] driven businesses. As I transition back to my role as Director, I look forward to continuing to work with Claire and the rest of the team as I continue to believe in the power that is yet to be unlocked from this brand. I will now turn the call over to Mark to review our results and provide more detail with regards to our financial and operating restructure. Mark?
Mark Webb: Thank you, Jim and on behalf of all the teams, I'd like to thank you for your leadership over the past year. As Jim noted, the COVID-19 pandemic has created unique challenges this year. In response to these challenges, we have taken deliberate actions that not only helped us survive such uncertain times, but we believe have put us in a position of strength once the pandemic subsides. We strengthened the balance sheet, we extend the maturity on almost 98% of our term loan debt by two years to 2024, we amended our debt covenants with our lenders obtaining a leverage ratio holiday for Q4 2021 with more lenient leverage ratios initially upon reinstatement and a minimum liquidity covenant was instituted to put focus on this most important metric in the short-term. And finally we issued a new junior term loan and paid down our evolving loan facility, all of which provide us liquidity and breathing room to continue to execute our foundation billing strategies with total liquidity measured as bank cash plus ABL availability of over $53 million at the end of the third quarter. Over the coming years J Jill should be well-positioned to take advantage of profitable growth opportunities. Operationally, we've aggressively managed inventories. We canceled orders where possible and reallocated units from stores to the rest to better align supply with demand and as necessary, we took markdowns and carved out units for third-party liquidation in order to end 2020 as clean as possible to enable us to position for recovery in 2021. The gross margin in Q3 reflects these actions with the majority of the 550 basis point decline coming from tariff activities including the impact of third-party liquidations. End of quarter inventories finished down almost 17% compared to last year. We will continue to be aggressive with inventory management this year with the goal of starting fiscal 2021 with inventories well-positioned to support average unit retail and gross margin recovery. We also reviewed our store fleet in light of performance impacts from the pandemic and made the decision to close up to 20 stores this year 11 of which have already closed through the end of the third quarter. We will continue to review the fleet in 2021 for further optimization opportunities. We believe physical stores are critical channel for J Jill and do not rule out a return to store growth in the future once the full effect of the pandemic on malls and customer shopping patterns is understood. We believe that the actions we've taken including those that Jim reviewed will contribute to a stronger foundation from which J Jill can grow in the future. Now let me quickly cover a few key highlights from our third quarter performance. Third-quarter revenue sequentially improved compared to second quarter achieving 70% of last year's sales levels. All stores were open as of the start of the quarter though many operated on reduced operating hours to control variable costs as store demand continue to recover. Direct revenues were up 4% for the quarter and penetration remains quite healthy at 63% of total sales. With regards to profitability, as previously mentioned, gross margin of 58.9% was primarily impacted by actions taken to manage inventory aggressively to set J Jill up for recovery in 2021. SG&A expenses were down $6 million compared to last year, despite $13 million of nonrecurring expenses primarily driven by transaction-related costs incurred during the quarter. Expense savings were driven by reduced marketing spend, lower store selling costs associated with fewer operating hours and reductions in overhead headcount. In summary, we've taken many actions this year that we believe strengthen the operational foundation of the company. We know there is much work to be done and uncertainty remains in the macro environment related to the COVID-19 pandemic, but with improved operational discipline and greater financial flexibility we are confident that the steps we've taken will set us up well in 2021 and beyond. I will now turn the call back to Jim for his closing remarks. Jim?
Jim Scully: While this year presented incredible challenges to the organization, I'm so proud of everyone's efforts and dedication during this time. I want to thank all of our teams for their hard work wish everyone a happy and healthy holiday season.
Operator: This concludes the J Jill third quarter fiscal 2020 earnings commentary. We thank you for your participation. You may now disconnect.
End of Q&A: